Operator: Greetings. Welcome to the NET Power Second Quarter 2024 Earnings Call. At this time all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to Bryce Mendes, Director of Investor Relations. Please go ahead.
Bryce Mendes: Good morning, everyone. And welcome to NET Power’s second quarter 2024 earnings conference call. With me on the call today we have our Chief Executive Officer, Danny Rice; our President and Chief Operating Officer, Brian Allen; and our Chief Financial Officer, Akash Patel. Today we issued our earnings release for the second quarter of 2024, which can be found on our Investor Relations website, along with this presentation at ir.netpower.com. During this call, our remarks and responses to questions may include forward-looking statements. Actual results may differ materially from those stated or implied by forward-looking statements due to risks and uncertainties associated with our business. These risks and uncertainties are discussed in our SEC filings. Please note that we assume no obligation to update any forward-looking statements. With that, I will now pass it over to Danny Rice, NET Power’s Chief Executive Officer.
Danny Rice: Thanks Bryce. And thanks everybody for joining us today. On the call we’ll reference several slides from our Q2 presentation, and we encourage you to have it handy. It was a productive quarter for the NET Power team as we continue to make steady progress across our three strategic pillars and our 2024 milestones. As we’ve mentioned on previous calls, we’re focused on several key initiatives. First and foremost is commercializing and improving our clean power technology at the utility scale. Our first utility scale plant remains on schedule for startup between the back half of 2027 and first half of 2028. To ensure our first plant performance designed this fall, Baker Hughes and NET Power will commence the first phase of a rigorous turboexpander equipment validation program at our La Porte demonstration facility. Second, we are building out our project backlog through our origination efforts across competitive power markets in the U.S. and Canada. These originated projects were originally intended to accelerate early plant deployment after Serial Number 1 comes online, but as we’ve seen over the last year or two, the U.S. is entering a period of meaningful load growth that remains well short of new, affordable, clean, firm power resources. And the market opportunity for NET Power plants to meet this load growth is something our origination team is actively pursuing. And third, we’re standing up our strategic supply chain partnerships to ensure we have the ability to deploy dozens of these plants per year by the early part of next decade to meet the growing demand for clean, firm power. Let me spend a couple of minutes on the macro and our competitive positioning before turning it over to Brian and Akash for the operational and financial updates. For the first time in a long time, we are seeing around the clock load growth, primarily from continued electrification of everything in new demand from things like data centers. We believe clean 24/7 firm power solutions like ours, will make a break to the world’s ability to achieve its energy needs economically without compromising its environmental goals. And as we sit here today and assess the competitive landscape, we continue to see data points and anecdotal evidence that we’re designing the most cost-effective, clean power solution in the world. Given the IP moat we’ve built around this business and the decade or so the team has put into developing and refining our clean power plant, we think we should have a meaningful head start through 2040. The supply chain constraints facing the entire power industry, carbon emitting or not, is shifting the market’s focus to 2028 to 2030 and beyond, which bodes well for us to capture this demand as we scale into full scale manufacturing mode shortly after our first plant is online. In terms of our competitive positioning, we still see NET Power as the most economical clean power solution. For the first time ever, load growth for 24/7 power means that levelized cost of energy, or LCOE, must be assessed on a 24/7 365 basis. And we believe our solution will be more economic than new nuclear renewables with long duration energy battery storage, renewables with gas peakers and gas plants with post combustion carbon capture. Our early plants will be our most expensive, and for these we’re targeting geographies with our most favorable economics, excellent spark spreads, low cost to sequester the CO2 and robust government incentives. Regions like MISO, Alberta and certain parts of ERCOT fit the bill. That said, we believe our first plant, which will likely be the most expensive one we ever built, will still be highly competitive with any other clean firm power alternative. That’s a very profound and important starting point. And as we step into manufacturing mode, we are targeting an LCOE of $60 per megawatt hour in many places across North America, which we think unlocks an obtainable market of 800 to 1000 NET Power plants. This $60 includes the 45Q benefit, which amounts to approximately $20 per megawatt hour. On an unsubsidized basis we are targeting $80 per megawatt hour or less. Today, average U.S. power prices are approaching $60 per megawatt hour with unprecedented load growth coming down the pipe. Without sufficient generation capacity being added, we think grid reliability becomes compromised, and power prices move higher. Neither of those are great outcomes for consumers, people and small businesses alike, and we’re seeing more tangible evidence across the U.S. of the consequences of underinvestment in large scale firm capacity. Just two weeks ago, PJM’s capacity auction, for example, for 2025 to 2026, experienced major shortfall in reliable power bidding, resulting in a 9x spike in capacity prices to over $280 per megawatt per day, the highest capacity prices PJM has ever seen. This comes on the heels of PJM and other system operators’ reliability reports indicating there is more load growth than firm capacity being added. All to say, the results of the PJM auctions aren’t a surprise to those following this space. But what is surprising is a disproportionate amount of resources and capital spent performing triage instead of addressing the underlying problem. We also don’t think that forward prices properly reflect the marginal cost of new capacity to meet baseload demand growth. For a new combined cycle gas plant, for example, we’re hearing through the market costs $1,500 to $2,000 per kilowatt range, which is nearly two times the cost of a new gas plant compared to several years ago. That’s consistent with what we’ve been seeing on our side. All to say, inflation across the traditional generation sector really narrows the economic gap between a carbon emitting plant and a clean NET Power plant. Carbon intensity wise, the U.S. grid today is at around 370 grams per kilowatt hour. NET Power is 40 grams to 75 grams per kilowatt hour. We comply with the EPA’s proposed Section 111(b) and Section 111(d) rules and installing NET Power from here on out in the U.S. would be a 75% reduction in U.S. power emissions, while improving grid reliability and ensuring power prices not much higher than where they are today. Just given the underinvestment in firm resources over the last five to ten years, there is a lot of capital and attention on batteries, which is more triage for grid reliability than it is a sustainable, low-cost solution. Batteries are inherently very expensive at over $200 per megawatt hour, but by further reducing the economic uptime that a new 24/7 power plant needs to justify being built, batteries only make this problem worse. And if the end goal is clean, reliable, affordable power, NET Power is far in a way a better, more complete solution. But absent a total shift across policy, capital markets and market demand, we don’t see firm 24/7 resources being added fast enough, and we think power prices should be moving much higher. This in turn will only mean that our plants are more economic thus supporting our commercial strategy to lead with origination and set the table for future deployments where our clean firm power grid can generate highly economic return to the NET Power plant owners, while delivering lower cost power than prevailing market prices. On the origination front, we continue to make significant progress across North American markets. Slide 7 highlights the regions we’re spending a lot of our time originating future projects. As I’ve mentioned in the past, there are three main criteria to screen to ensure a NET Power plant’s success. First is access to natural gas; second is a market or designated market for the power; and third is ample CO2 storage, whether it’s through permanent sequestration or enhanced oil recovery. Now, there are multiple regions across North America that check these three boxes, in addition to having supportive policies that further enhance the economic attractiveness of these prospective plants. As we’ve mentioned before, there are approximately 22 states in the U.S., plus several provinces in western Canada that contain sedimentary rocks for geologic sequestration. Most of these territories happen to be in competitive power markets, which is where we are focusing most of our origination efforts today. And you can see on this slide where our team is focusing their efforts. One of the more interesting markets is Alberta, which has the right elements for success, and we believe could be one of the most attractive places in the world for us to establish some large-scale NET Power clean energy hubs. We’re currently in the project feasibility phase of the origination timeline here, which includes conducting site-specific studies with our first partner in the region, commencement of a region-specific plant design, and initiating regulatory dialogue at both the provincial and federal levels. We are really excited about the Alberta market and look forward to sharing our progress going forward. Elsewhere, our northern MISO project is progressing well. As a reminder, we filed our MISO interconnect application in the second quarter of 2024. Additionally, our sequestration partner has filed for its Class VI CO2 sequestration permit. And with these items underway, we’ve begun the first phase of stakeholder engagement at the local and state levels. On a final note, before turning it over to Brian, I am excited to announce that NET Power officially opened its Houston office in July. We look forward to continuing to grow the NET Power team down in Houston, which has long served as an epicenter for energy industry talent. I will now hand it over to Brian to give an operational update.
Brian Allen: Thanks Danny. Turning to Slide 9 in the presentation, as we have mentioned in previous calls, the upcoming testing campaigns at La Porte will focus on validating and de risking the Baker Hughes utility-scale turbo expander and optimizing its operation within our cycle. The campaigns will follow four primary phases and will continue through 2026. We’ve added the expected timing for each of the four phases on the right-hand side of this slide. The first phase of testing, which will result in combustor burner down selection, is on schedule to begin in the fourth quarter of this year. The second phase is expected to begin in 2025 and will take the selected oxy fuel burner from Phase 1 and tested alongside a combustion liner and other hardware to form a single demonstrator sized combustion can. The third phase of testing is expected to begin in late 2025 or early 2026 and will involve scaling the demonstrator size combustor can from Phase 2 to utility scale can with clusters of burners and then testing it with the goal of learning and optimizing the design of the utility scale combustor that will operate at Project Permian and beyond. Finally, the fourth phase is expected to start in 2026 and will test the full demonstrator turboexpander, including the validation of materials and design architecture to be used on the turboexpander for Project Permian. Turning to Slide 10, the team continues to make steady progress on site upgrades to our La Porte demonstration facility in preparation for our upcoming equipment validation with Baker Hughes. To support Baker’s combustor test requirements, we have added additional natural gas oxidant and CO2 piping that run to our combustor test rig building, which will host Baker’s combustor test rig. Based on lessons learned from NET Power’s previous La Porte testing, we have installed upgraded flow measurement and other instrumentation to enhance our data acquisition that will ultimately help us improve our utility scale control system. We continue to bolster NET Power’s engineering team and our partner Constellation’s site operations staff ahead of the Phase 1 equipment validation set the start in the fourth quarter of this year. The Baker Hughes combustor test rig is shown on the right-hand side of Slide 10. It is currently located at Baker’s Florence facility and is expected to ship to La Porte in Q3. Due to the plant upgrades we are making, we can vary the pressure, temperature, and flow of the CO2, oxidant and natural gas that feed the combustor test rig to simulate the range of operating conditions that Baker expects to see in the actual turbo expander. Phase 1 testing will commence in Q4, beginning with ignition testing and ending when we and Baker have operated each of the candidate burners through a full range of operational mapping and have made a final down selection. Phase 2 will begin next year using the selected burner and will test a La Porte sized combustor can. Next, I will turn to Slide 11 for the update on Project Permian. The project remains on schedule with initial power generation expected to occur between the second half of 2027 and first half of 2028. During the second quarter of 2024, we signed a limited notice to proceed with Baker Hughes for the release of all long lead material required to maintain an on-schedule delivery of the utility-scale turbo expander to Project Permian. Our key upcoming 2024 milestones are highlighted on the right-hand side of the slide. We are advancing our Front-End Engineering and Design or FEED with Zachry Group. We recently met with John Zachry and his leadership team to discuss the court approved settlement between his company and the Golden Pass LNG project. We had a constructive dialogue and are pleased that we will continue the same EPC contracting approach we initially envisioned when we started the feed. Zachry continues the feed engineering to firm up equipment quotes and optimize the plant layout. We have had several collaborative value engineering sessions to optimize the piping design and reduce the amount of CO2 volume in the system and reduce the quantity and cost of high pressure pipe. Zachry will deliver their FEED estimate and schedule expected in Q4 of this year. To maintain the project schedule, we will continue to order long lead components throughout 2024. We and Zachry are finalizing purchases for other long leads that have been identified, including 345kV circuit breakers, a generator step-up transformer, a unit auxiliary transformer, and an air separation unit transformer. Other items may be added to this list as necessary to ensure we preserve the Project Permian schedule. Additionally, we recently finalized our ASU pre-FEED and have begun our ASU FEED with a standard 2 x 50% ASU plant configuration. So instead of a single large ASU unit supplying all of our required oxygen, there will be two smaller ASUs that will together account for the full oxygen input requirements for the plant. The two smaller ASUs have better operating flexibility to support our various power plant operating modes including ramping up and down to support grid requirements and optimizing liquid oxygen storage to serve as our backup oxygen supply and long duration power storage. This ASU configuration decision was carefully made considering the trade-off of many factors and ensure success for both Project Permian and other future projects. Many of our target customer geographies are located inland away from major ports and waterways. So, this decision will better support truckable module shipping to a diverse range of customer project sites. This 2 x 50% configuration is also a better fit within ASU providers standard product offerings and should support modularization and a broader set of competition amongst their sub-suppliers for equipment like compressors and heat exchangers. With that, I’ll pass it off to Akash for the financial updates.
Akash Patel: Thanks, Brian. NET Power continues to prudently deploy our capital, ending the second quarter of 2024 with a strong balance sheet including approximately $609 million of cash investments. Consistent with the past several quarters, the current interest rate environment has allowed us to put our balance sheet cash to work to offset our corporate spend. In the second quarter, our cash flow used in operations was approximately $8 million, which included a cash payment of more than $3 million under the Baker Hughes JDA. We expect cash flow used in operations to continue increasing as we build out the organization, progress the joint development program with Baker Hughes and ramp up activity at La Porte. For the quarter, our total capital expenditures were approximately $8 million, comprised of approximately $4 million of capitalized costs associated with the ongoing Project Permian development activities and approximately $4 million spent on La Porte modifications and upgrades ahead of testing that is expected to begin in the fourth quarter of this year. NET Power’s fully diluted share count was approximately 249 million shares as of June 30. This was comprised of approximately 214 million Class A and B vested shares, 19.5 million shares issuable upon the exercise of outstanding public and private warrants, which if exercised would give NET Power an additional $225 million of cash, 2.9 million shares subject to earn outs or vesting requirements and approximately 12.4 million authorized shares issuable pursuant to the joint development agreement with Baker Hughes. For a detailed breakdown of our diluted share count, please refer to our annual and quarterly financials on file with the SEC. That concludes our prepared remarks. I’ll now pass it back to the operator to open up the line for Q&A.
Operator: Thank you. We’ll now be conducting a question-and-answer session. [Operator Instructions] Our first questions come from the line of Leo Mariani with ROTH. Please proceed with your questions.
Leo Mariani: Yes. Thanks. Just a quick question. I wanted to follow-up a little bit here on Project Permian. You spoke to this in your prepared remarks, but do you envision any change at all in timeline as a result of Zachry’s financial issues? You mentioned there are going to be some deliverables on the FEED side later this year. But as you look at the overall timeline in the next year or two, do you not see any change? I mean, was there any change in terms of staffing that was being supplied to your project there? Can you speak a little bit more detail about that? That’d be great.
Brian Allen: Yes, Danny, I’ll take that. This is Brian. Yes. So, there’s been no impact to the FEED the whole time this was going on. We’re actually embedded in their office with our project team. No change to staffing. No change at all. So really – again, we’re not in the EPC phase yet, so it’s really mainly engineering taking place. But our meeting was really more about forward-looking ability to contract the subcontractors, ability to make the purchases, ability to attract the staff in that future phase, and that’s fully in place. So, yes, no change in schedule, no slip of any sort, and the FEED has progressed per the original schedule.
Leo Mariani: Okay. That’s helpful. And then I wanted to jump over to OP1 real quick here. So, you mentioned that you guys have a sequestration partner lined up for that. Was hoping that you could provide a little bit more detail around that in terms of who that might be. And then I guess, just additionally, where are you guys in the process of maybe kind of selecting the right customer for that project?
Danny Rice: Yes. Leo, this is Danny, and good to hear from you. Yes, I think without getting too deep in the weeds on specifics of who the partner is, I think one of the things is we’ve started to dive deep into just these origination projects, lining up both partners on the power side, but then also on the subsurface side. I think one of the things that I think everybody in this space is seeing is on the subsurface side, you’re really looking at the traditional energy industry folks with that subject matter expertise. So traditional oil and gas companies that are very, very familiar with just understanding geology. But I think more importantly is you get into whether it’s in Northern MISO, Southern MISO, ERCOT, CAISO, there’s subject matter expertise across just local geologies in each of these areas. And so, it’s really finding partners that have deep experience, not just with the ROC [ph], but also with being able to work with the permitting agencies with the states, with the local communities. And so, with this Northern MISO project, it’s not a company that’s from outside the basin. It’s one that’s been in the basin for a while now, which certainly gives us a little bit of a leg up in really understanding just both the regulatory process, but also to the point I made earlier on engaging with the local communities and local stakeholders. It really is a huge advantage as you look at just being able to build that social network there. So, things are progressing nicely there and then, happy to hear that second question again, if you want some color there.
Leo Mariani: Yes. No, that was very helpful in terms of the color around the sequestration partner. Was just curious as to kind of where your conversations are with a potential power partner. I don’t know if you’ve maybe kind of narrowed down some options. I mean, are you maybe started with a wider funnel and talked to a bunch of folks, and now you’ve got to narrow down to a handful of partners? Just trying to get a high level sense of where you are with potential customer engagement on OP1.
Danny Rice: Yes. The power piece is such an interesting one because I think when we originally started getting into the origination space, we sort of just assumed that the most logical place to sell this power is into the local merchant markets or under a long-term PPA. But all that’s really done through a utility that would become a partner of ours in our origination projects. And I think one of the benefits of us doing origination, it gives us total creative latitude over how do we commercialize this, how do we structure each of these, for all intents and purposes, SPVs that we put around special purpose vehicles, that we put around each of these NET Power clean energy hubs. And so, we kind of have total latitude over who do we want to partner with. Is it going to be the traditional utility folks in a given region? Is it going to be bringing in infrastructure capital and we stand up the team or partner with somebody on the actual operation of the plants. I would say kind of sitting where we are today. It really varies from region to region. And I think the new thing that’s really just popped up that I think everybody’s talked about ad nauseam at this point is just the load growth and just power demand that you’re seeing from just new sources of generation, that this is really data centers that I’m talking about that have just this insatiable appetite for as much clean firm power as they can get their hands on. And obviously, clean firm power is in very, very, just short supply today and certainly going forward to meet their needs. And so, for us, I think what we’ve begun to see is, it creates really, really unique opportunities for us to be able to underwrite the plants with these long-term fixed price PPAs at really healthy prices if you can put these plants in the right area, right? And so certainly this first origination project being in Northern MISO is one of those targeted areas for folks looking to procure power on either on a physical basis. So, co-location behind the meter with a NET Power plant, but also as a bridge until you can establish these permanent behind the meter solutions, virtual PPAs. So, they’re just buying that power within the grid system and then allocating it to their designated data center or just designated load growth. So long way of saying is, we have a lot of options with what we do with OP1’s power, but it’s really nice to see a lot more options and a lot more flexibility starting to pop up than we expected even 12 months ago.
Leo Mariani: Okay. Appreciate it.
Operator: Thank you. Our next questions come from the line of Thomas Meric with Janney Montgomery Scott. Please proceed with your questions.
Thomas Meric: Good morning, gentlemen. Thanks for taking the time. A couple for me on Baker supply. Just kind of thinking through gas turbine demand globally, not just for NET Power turbines, but the build out of peaker plants, et cetera. How do you think about the surety of your turbine supply with Baker in this growing demand environment? And is there room to expand that capacity? Just kind of walk us through some of the color around the supply agreement to the extent that you can. Thanks.
Brian Allen: Sure, Thomas. This is Brian. Hey, I think I addressed this a little last time. Certainly, they’re seeing – yes, Baker’s seeing the pressure from the aviation industry coming out of COVID, you have significant amount of airplane and jet engine orders, which compete for a similar supply chain. And then of course the power gen itself picking up. But overall, that’s a much smaller percent of just the total supply chain for things like forgings and castings and that make up the components within the turbine. Look, we have a commercial committee partnership with Baker. We’re looking at long-term forecasting and this is their business, right? They make sure as we go through the design that they’re not sole sourcing individual sub-suppliers. This is what they do day in, day out. So, we’re confident, having worked with them on the sub-supply chain, that they’re securing, that they’re leaving themselves options that we’re not designing something that, let’s say, trends off into one of a kind type designs, material sub-suppliers. Yes. So, it’s really just enhancing who they already work with. It’s a similar supply chain and yes, we’re confident in what they’re building out right now.
Thomas Meric: Great. Thank you. And then Danny, on the heels of Leo’s question on OP1, just wanted to kind of ask this kind of the same question in a different way. But is there any change to your strategy for monetizing originated projects as it relates to PJM capacity clear MISO capacity reform? All of these things that have generally tightened to the market for clean firm power. Just curious if you still expect that the vast majority of OP projects will be kind of monetized via promote or a sale or if there’s an opportunity for you to operate them yourself.
Danny Rice: Yes. We talk about that all the time of like, do we get into the operator game? And I think kind of sitting here today, we don’t necessarily think we need to internalize that skill set. Certainly, we’re sitting in a unique position where there’s probably nobody in the world that understands this technology better than us because we’re developing it. Nobody really understands the operability of this plant better than us. And so, it’s certainly a skill set that we have a head start on everybody with. And I think it really comes back down to, like, what’s going to enable us to be able to scale this thing as quickly as possible? Is that going to be a responsibility that we can outsource to other folks? I think as we look at origination, our original goal was, look, origination for us is going to be a way to catalyze us into full scale manufacturing mode. And I think it’s just a reminder for everybody. The goal was originally, look, let’s build a shadow backlog of 30 to 40 NET Power projects that we kind of have teed up going through the requisite grid and subsurface permits for the first 30 to 40 plants by the time the first one comes online at the end of 2027. And then that’ll really be the thing that catalyzes us into manufacturing mode, and it allows us to come down that CapEx curve. We can take our CapEx from $1 billion, $1.1 billion down towards that $700 million that we’re targeting long-term. We’re kind of sitting here today looking at just the interconnect queues, looking at this load growth that’s coming, looking at the higher values that are now being ascribed to firm power. And it shows up in things like just the capacity markets, like what you saw in PJM. And so, you’re starting to see there’s major scarcity and just new firm capacity being added. It’s really hard to contract just any type of firm capacity under a long-term PPA. But if you have clean, firm capacity, that is highly, highly valuable to a whole lot of potential strategic buyers on a long-term basis. And so, what that enables us to do is essentially underwrite a lot of the CapEx, if not the entirety of the CapEx, of these plants with these long-term PPAs coupled with the benefit of the 45Q, which is essentially a 12-year fixed price PPA with inflation escalators in it. So, it gets you to this really unique place where you can actually underwrite, like the full returns of the plant on a fully contracted basis. And that’s a really unique, really powerful place to be. And so, I think when you couple just kind of those underwritten economics, along with just the magnitude of load that’s going to be coming to these grid systems. I think what it’s really forcing us to do on the origination side is shifting to these larger scale developments. Because while each of our modules at 250 and 300 megawatts is fairly sizable, the load growth that’s coming is in the magnitude of tens of gigawatts per year. And so, for us, it really lends itself to these fleet deployments. And so that’s one of the things that us and the team are really starting to think about is fleet deployments two to four NET Power plants per pack. And so that’s ultimately one of the ways that we’re going to be able to drive that CapEx down even further. And so, origination for us could [indiscernible] beyond just catalyzing us into manufacturing mode and really being a core staple of the business of NET Power, developing that expertise of being able to pair the power markets with the subsurface markets to create these really, really economic projects. So, I think it’s still an evolution in terms of where we ultimately end up. But I think everything that we’re seeing on the macro side are certainly tailwinds that will just continue to support the efforts that we’re putting into the origination bucket. And I think just the last thing on that is, we just don’t see a lot of new firm base load showing up into these queues. I think to Brian’s point to Thomas’ question earlier, like, these supply chains are fairly constrained across the entire generation industry. We’ve been seeing it over the last couple of years as we’ve had to push back the COD data of Serial Number 1. And we’re starting to see firsthand that it’s not just us that’s experiencing, it’s everybody else in the market. And so, I think all to say, as the market really starts to shift load growth because of capacity constraints into the back half of this decade, the beginning of next, it really sets us up as we enter full scale manufacturing mode to be able to capture when that demand is really going to be there.
Thomas Meric: Very helpful. Thank you. I’ll turn it back.
Operator: Thank you. Our next question is from the line of Wade Suki with Capital One. Please proceed with your questions.
Wade Suki: Good morning, everyone. Thank you all for taking my questions. I think last quarter, just to follow-up, I believe on Leo’s question earlier, I think last quarter you all mentioned that there might be another project that potentially sort of slots in ahead of this OP1 as we know it today. I mean, considering the MISO and Class VI filings, is that still possible or are we sort of at the point of more certainty and then just in terms of timing, still fair to think of OP1 starting up within a couple of years of Project Permian?
Danny Rice: Yes. Hey, Wade. Yes. The way we kind of think about it with origination and the reason why origination just gives us total flexibility is because these are our projects and until we’ve brought in strategic partners on the equity side, on the debt side, on the offtake side, we kind of have like total flexibility around slotting order, around just sequencing of these plants. So certainly, like OP1’s kind of ahead of these other originated projects, because we’re already going through the permitting, we already have site control, all of those things for this to be an actionable project. But I think we’ve kind of always said, we’re going to try to develop the most economic projects first. And so, as we’re kind of looking at opportunities in some of these other regions, there’s definitely the opportunity that some of these other things could slot in ahead of it, if the timing works out and if the permitting and everything falls into place. And I think one of those markets that could surprise people is probably going to be the Alberta market. It’s probably the most economic place in the world to develop a net project – a NET Power project, principally because of the ITC credits you have at the federal level and at the provincial level within Alberta, a favorable carbon tax pricing regime. And Alberta has been highly successful in being able to permanently sequester CO2 through a lot of really nice geologic formations over the course of the last few years. And so that’s a really unique market where we’re pretty advanced on a couple things up there in Alberta right now. And that becomes one of those markets that could leapfrog what we’re doing up in the MISO area. But I think at the end of the day, what we’re really thinking of is after this first plane comes online at the end of 2027, we’re quickly ramping into full scale manufacturing mode and the goal isn’t to deploy just one or two plants per year, but it’s to scale into being able to deploy dozens of these plants. So, whether it’s Serial Number 2 or Serial Number 3 or Serial Number 10, the expectation is, we’ll be able to have that backlog of originated projects that we’re starting to build that queue up right now. We’ll have those deployed before the early part of next decade. So, we’re really excited about being able to have just total optionality over which project we slot is Serial Number 2, Serial Number 3, Serial Number 4. But I think we’re going to have probably another year or 18 months before we really need to put a fork in what plant is going to be Serial Number 2.
Wade Suki: Fantastic. Appreciate that. Great detail. You kind of led into my second question on Alberta. Sounds like a very attractive market developing up there for you all. Any hints you can give us? I think I heard you say, you have secured a partner already up there. Did I hear you correctly? And any color you can give on that would be fantastic.
Danny Rice: Yes. We’re working with a few firms up there that have really great access to natural gas, really great places to be able to store the CO2. I think as we’re seeing across most of these places, the power piece is probably the easiest one to solve, considering like, just about every single power market is short firm clean capacity, and everybody’s really scrambling to figure out ways to be able to procure that sort of generation capacity. So, the power piece is probably the easiest of the variables to be able to solve for. The key things are really being able to figure out how am I going to get access to the lowest cost gas I can? How can I get as close to the CO2 sink as possible to really minimize the CO2 transportation and sequestration costs? And so, in Alberta, just like within any other place in the U.S. or really any other place in the world where this plant makes – these plants make really good economic sense, you’re typically going to be partnering with the oil and gas industry, especially on the gas procurement and the CO2 sequestration side. So, we’re working with a couple folks really close on opportunities up there. And certainly, as those ones evolve and become announced, we’ll definitely share with you guys more details. But all to say, Alberta is a really interesting one for a lot of the same reasons why some of these markets in the U.S. are really exciting to us as well.
Wade Suki: Great. That’s fantastic color. Thanks so much. Look forward to seeing you guys next month.
Danny Rice: Thanks, Wade.
Operator: Thank you. Our next questions come from the line of Martin Malloy with Johnson Rice. Please proceed with your questions.
Martin Malloy: Good morning. I was wondering if you could maybe give us an update on your approach to financing the project Permian plant. And any update as far as DOE potential funding timeline, et cetera.
Akash Patel: Yes. Hey, Marty, thanks for the question. This is Akash. So we’ve said this on previous quarters, so we’re waiting for – there’s a lot of things that have to get aligned before you announce the final financing package for the first plant. We’re going through FEED now right on the end of FEED in Q4, we’ll get an open book estimate. So, we’ll have the firm CapEx number. And that really will allow us to know the actual specific returns of the plant based on supply offtake, et cetera, that we’re currently in discussions within West Texas. We are the first $200 million into the plant. We’ve announced that, right, of our $600 million plus in cash, we’re going to be the first $200 million into the plant. And then we’re working on the financing strategy with our existing owner group led by Oxy and Baker, and consolation for how we approach the rest of the capital for that. We also have said that the first plant, we’re approaching this as fully equity funded at the project level. Now, if there’s opportunities for us to get either federal or state level capital, we are evaluating that. The DOE program for the LPO, I think we’re more thinking about that as potentially a really good, strong opportunity for anything in Serial Number 2 plus, like in myself. And then, there’s other things within Texas that we’re also constantly evaluating, including the Texas Energy fund. But as of now, we’re assuming that its fully equity funded.
Martin Malloy: Great. And for my follow-up question, I wanted to ask about brownfield site opportunities. Are you seeing any opportunities there to maybe accelerate originated projects?
Danny Rice: Yes, definitely. I think greenfield, brownfield. So, brownfield are just existing sites for the listeners that haven’t heard that termbefore. And so, I think, yes, brownfield sites are really interesting to us for several reasons. One, they already have existing interconnects. And so really what you’re doing is we’d really just be repowering those existing interconnects. I think if you look at, just like the thermal power industry over the last 10,15 years, you’ve seen capacity rates on a lot of these base load plants go from them serving as base load 80% to 90% capacity factors. Now they’re trending down towards 50%, 60% on average. And a lot of them have just been fully relegated to peakers where they’re operating 10% to 20% of the time and really just serving as a backup to the grid, when they’re needed. And so those are sites with interconnect that are highly underutilized. And so, it becomes really unique opportunities for us. And so that’s part of our screening assessment, is – for origination is, are there brownfield opportunities? And so, yes, it’s definitely in the works. They’re definitely interesting. I would say, if we were trying to get a NET Power plant on in the next two years, brownfield sites become really, really interesting to us. But the fact that we’re talking about projects in 2029, 2030 and beyond, the brownfield sites aren’t as valuable to us as they might be to somebody that’s trying to do something within the next year or two. But I would say, when we look at just the size of generation that you can generate from our footprint, which is a lot – our plant is highly, highly dense. We’re talking about 15 to 20 acres for each of these blocks. And so, if you’re talking about four NET Power plants for a gigawatt, we only need 80 acres. And so just the siting requirements for us are much smaller than they are for any other real new thermal power plant today. And so, we can fit into existing spaces. And so, as we look at just some of these brownfield sites, we don’t think you’ll necessarily need to take away the existing plant that’s there. We can actually co-locate and essentially repower without having to get rid of the existing power plant. So, it creates really unique opportunities, just given the dense footprint we have. And certainly, just those brownfield sites become interesting opportunities for us. But again, it all gets back to, because we’re really trying to optimize for the lowest cost source of power we can, being as close to the sink and as close to the natural gas are two of the more important features that really drive total project economics for the cost of electricity. So those are the two driving things. And then certainly that being on the brownfield site is important. But I wouldn’t say it’s necessarily in the top three or four things that we’re looking at as we screen for the best place to put these plants.
Martin Malloy: Thank you. Very helpful. I’ll turn it back.
Operator: Thank you. Our next questions come from the line of Pavel Molchanov with Raymond James. Please proceed with your questions.
Pavel Molchanov: Yes, thanks for taking the question. Nice to be on your call for the first time. You touched on permitting in some of your remarks. We’ve seen so many different infrastructure projects get delayed because of permitting over the last few years, specifically in the U.S. Can you just talk about kind of how that aspect of the roadmap is going and do you envision any delays on that front?
Danny Rice: Yes. Pavel, no, that’s a great question. I think that’s certainly one of the issues that I think the broader power industry has faced is looking at building a new transmission, new infrastructure to be able to connect their generating assets. I would say the one thing that’s unique, probably more unique about NET Power, well, there’s a couple of things. First, we don’t take up a lot of land, and I think if you look at just the transmission issues that you’re seeing specifically on the wind and solar side, those folks need a lot of land to be able to build their generating facilities. You’re talking about tens of thousands of acres for each of those. And so, they’re having to build-out in areas where they have enough land mass to be able to build their generating assets, which inevitably means in most cases, they’re having to build further from where the existing transmission lines are and they’re having to lay new transmission lines. Our situation is a little bit different where we can find 20 to 100 acres close to existing transmission lines where there’s not congestion on the system. And I think that’s certainly part of just our screening assessment as we look at where do we want to set up shop within these territories is really figuring out where is there not much congestion on the system that we can get into on the 100 acres or so. And that’s certainly a screening thing that’s really just afforded to our technology and not so to other forms of new clean generation. So, there’s that piece. So, I think that’s probably like the biggest one is we’re really trying to be as close to the existing grid as possible. And I think just given our small footprint enables us to do that. So, we’re really able to mitigate a lot of just the transmission extensions that have to happen for renewable forms of power. And then the other just real permitting consideration is really on the subsurface side, on being able to permit the CO2 infrastructure, both the wells and the pipelines. And again, we’re really targeting being as close to the sink and as close to the grid as possible. And in an ideal scenario, we’re right next to the grid interconnect and we’re right on top of a sink. And that’s certainly what we’re doing on our project up in MISO. That’s what we’re doing for our first project in West Texas. And that’s kind of how we’re looking at things in Alberta and some of these other places as we go through these feasibility studies, is figuring out how can we be as close to the sink and as close to the grid as possible. Because not only is it good to shorten permitting times, because we’re not having to build massive new infrastructure that could take years and years and is outside of our control, but it also reduces our CapEx as well, especially on the CO2 transportation side. The smaller that CO2 pipe is, the lower the CapEx is and the higher the project returns are. So, I’ll just say, like all of this goes into just the assessment that we do. And so, we’re mindful of the delays that we’re seeing across the industry. And we’re certainly being very, very thoughtful about citing projects in areas where we’re not going to see five- to seven-year transmission line delays.
Pavel Molchanov: Let me follow-up on another aspect of sort of policy risks, so to speak. 45Q obviously got some benefits from the Inflation Reduction Act and 90 days out from the election. There is some debate over whether the IRA will survive in its current form if there is a second Trump administration. What’s your thinking around that issue?
Danny Rice: There’s only so many things that we have control over. And who knows what any administration is going to do. I would say if there’s any single technology that can survive administrative changes, if the administrations do want to change things, I think the one thing that should survive is something like NET Power and something like the 45Q for sequestration, both because it helps us meet our energy needs, it helps us – it leverages the traditional oil and gas industry on being able to procure natural gas, being able to sequester the CO2. So that certainly satisfies one contingent. But then the other side is it helps us achieve our environmental goals as well. And so there’s not a lot of solutions, not a lot of technologies out there that kind of cut across the aisles the way NET Power can, where it really helps us achieve both our energy goals with affordable reliable energy, while also at the same time helping us achieve our environmental goals. So, I think if there’s one single technology that could survive all of this, if there was going to be change, it would be NET Power. And so, I think that’s ultimately what we can hang our hat on, sitting here today knowing that we’re not going to be in the administration, we’re not going to have control over the decisions that are made. We just know we’re designing something that that satisfies both Republicans and Democrats alike. I don’t know if other folks have – Akash, Brian, if you guys have any thoughts on this matter.
Brian Allen: Yes, Danny. I agree with everything that Danny said, Pavel. And what I’ll also add is the 45Q was enacted under Obama. It was set to expire, I believe, in 2023. And the Trump administration actually extended it. And so, there’s precedent for them supporting the 45Q. And then when it was – when the price of it was increased from $50 per ton to $85 a ton under the IRA, that was actually taken from the GOP bill. So, as Danny said, this is something that has pretty strong bipartisan support.
Pavel Molchanov: Got it. Thank you very much.
Danny Rice: Thanks, Pavel.
Operator: Thank you. Our next questions come from the line of Noel Parks with Tuohy Brothers. Please proceed with your questions.
Noel Parks: Hi. Good morning. Just had a couple. Going back a little earlier in the call, I was a little surprised to hear you comment on oil and gas companies and that where you’re looking for sequestration partners, they are typically going to be local companies. Is there any interest being expressed out there for sequestration projects by legacy energy companies? But were there investing outside their home basically. Just wondering maybe like they’re investing minded looking at the 45Q and just doing the math and thinking that they’ll branch out?
Danny Rice: Yes. I mean, yes, no, no, that’s a great question. I think we’ve seen a lot more companies being spun up in the energy space that are specifically focused on sequestration. So, yes, in most of these territories, you have folks that already have just local geology expertise, and then you’re seeing new teams being spun up or that have been around for a little bit of time that have now started to expand beyond just their existing home base. We’ve seen it from folks – on the sequestration side, you’ve really seen it from folks coming with a deep EOR experience, enhanced oil recovery, where they’re very familiar with understanding CO2 sequestration. And so, you’ve started to see those folks who have predominantly come from the Mid-Continent, Oklahoma and obviously West Texas and the Permian developing those EOR skill sets. And they’re now able to start applying it to CO2 sequestration, not necessarily just for enhanced oil recovery, but now for permanent geologic sequestration. And so, yes, you’re starting to see those folks do a lot more, I would say, exploration where they’re starting to go into these other territories with their land team, starting to procure acreage positions. All of it really grounded in the geology of really understanding where are the areas where you have those really thick water bearing sandstones that are really conducive to sequestration. So, we’re seeing those folks pop up, which are great. Those folks are doing a lot of the exploration work to start to delineate and de-risk a lot of these formations. We’re starting to see a lot more teams pop up in all parts of MISO, from Northern MISO all the way down to Southern MISO. You’re starting to see more folks start to focus on PJM, which is fantastic because we’re sitting here today with PJM as the largest competitive power market in the U.S. It’s where you’re starting to see most of the load growth really constrained by new capacity additions. And so, PJM becomes like a really, really interesting territory for us, the largest one if we can really crack the code on sequestration. And so, we’re starting to see a lot of these good geology-based teams getting out there in front of it on being able to delineate the sequestration resource is really important for companies like us, because we’re not going to employ the geologists per se to go out there and delineate and explore for sequestration potential, but they will. And so, you’re starting to see, again, that oil and gas skillset is now being applied to sequestration. And you’re starting to see more and more teams get stood up to do it. And I think that trend will just continue to play out. But certainly, like, where we’re starting today is you’re starting with partnering with the folks that already have the existing expertise within these areas, but more importantly, the existing acreage that enables you to be able to begin sequestering sooner. I hope that helps.
Noel Parks: Got you. Yes, it totally does. Yes. I can picture some former people I knew, working EOR just being just right up their alley. And just thinking about utilities that you’ve talked with in the origination process, and I wonder they must run the spectrum between those that maybe were more aggressive with wind and solar. And as a result, are facing the impact of intermittency issues, more front burner. And maybe those are kind of held back. So maybe they haven’t really made a lot of investment in clean energy yet, but of course, they don’t have those intermittency problems. I just wonder, as you talk to those that have done different levels of investment in alternative generation, just wonder if there are any patterns you see in their thinking, their decision pace, et cetera.
Danny Rice: No, I mean, I can’t really give too much on the specifics around just their investment profile and risk profile and just their strategy around new energy. But I guess what I can say is everybody’s deeply interested in seeing NET Power succeed, which is really, really encouraging, because I think everybody kind of – not everybody, but a lot of these utilities see a lot of these other things coming on the pipe, and they’re just so cost prohibitive versus where power prices are today and even where power prices are going that we kind of have almost an entire industry sitting on the sidelines cheering for us, hoping that everything goes according to plan. And that’s certainly why we’re being so deliberate and rigorous with the Baker testing at La Porte ahead of the first plant coming online is we need to ensure this thing works as designed, because the industry is really looking down the pipe of all potential solutions. And I kind of covered it in like the prepared remarks, but there’s really no other, like, real solution coming on the pipe that’s going to have any chance of being able to decarbonize and help us achieve these energy goals at a tolerable price. New nuclear is really, really challenging for a few reasons. And it’s not just the cost piece, but it’s also just the time to be able to scale when the industry really needs it to meet their load growth. I think everybody’s now starting to look at batteries as just this – I call it a triage thing, where it’s being able to help prevent prices spike to $400 or $500 or $600 per megawatt hour. And so, as people are starting to look at just what solutions are coming down the pipe that’s going to enable us to be able to have clean power, but at a power price that’s not much higher than where power prices are today. A gas-based solution like NET Power’s is going to be the way to get there. And so really what we’re doing with them in origination, because this is an entirely new type of power plant, right, this isn’t a bolt-on technology to a combined cycle. This is an entirely new natural gas power plant. It’s going to be baby steps to bring them up the speed with NET Power. And so, what we’re really doing is, with origination is, origination becomes a gateway for them to be able to get fully up to speed with NET Power. And so, with origination, yes, we’re going to be bringing a lot of strategic utilities into these origination consortiums that we form. And it allows them to have a front seat to seeing how do we go through FEED, through EPC, through commissioning, through operation of this plant, so that they can get super comfortable, they can develop that skillset internally to be able to operate in that power plant. And then they can say to us, we understand how this plant works, this thing is great, just sell us. We just want to buy 10 licenses to build these across our geographic footprint. So, origination is both just a commercial catalyst for us on deploying into full scale manufacturing mode, but it’s also a gateway for a lot of these utilities to get very, very comfortable with how to build on and operate in NET Power plant before they have to do it 100% themselves.
Noel Parks: Great. Thanks a lot.
Operator: Thank you. We have reached the end of our question-and-answer session. I’d now like to turn the call back over to Danny Rice for any closing comments.
Danny Rice: Hey, thanks everybody for joining us today. It’s becoming really clear to us that our value creation, it’ll be determined less by our competitiveness versus the alternatives. Our clean power solution will inherently be lower cost and more reliable in the market today versus those coming on the pipe. And so, we really see our success will be determined by our ability to prove our technology at utility scale. So, thank you for your support in helping us make that happen. Have a good day.
Operator: Thank you. This does conclude today’s teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.